Operator: Welcome and good afternoon. Thank you for joining the PLDT conference call. This call is being recorded and replay information will be provided at the end of the call. At this point, I would like to turn over to Melissa Vergel de Dios, Head of Investor Relations of PLDT, for the introduction. Go ahead. Thank you.
Melissa Vergel de Dios: Good afternoon and thank you for joining us today to discuss the company’s financial and operating results for the first nine months of 2015. As mentioned in the conference call invitation, a copy of today’s presentation is posted on our website. For those who have not been able to do so, you may download the presentation from www.pldt.com under the Investor Relations section. For today’s presentation we have with us members of the PLDT Group management team, namely, Mr. Manny Pangilinan, Chairman of the Board; Mr. Poly Nazareno, President and Chief Executive Officer of both PLDT and Smart; Ms. Annabelle Lim Chua, Chief Financial Officer of PLDT; Mr. Ariel Fermin, Head of our Consumer Business; Mr. Eric Alberto, Head of our Enterprise Business; Ms. Chaye Cabal-Revilla, Chief Finance Officer of Smart; Mr. Doy Vea, President of Voyager, our Innovations unit; Attorney Ray Espinosa; and Mr. Joachim Horn, who is our Chief Technology and Integration Officer. At this point, let me turn the floor over to Mr. Poly Nazareno.
Napoleon Nazareno: Good afternoon and thank you for joining us. Let me begin by showing you our results for the third quarter of 2015, which are showing encouraging signs that we are starting to make progress with respect to our recent initiatives. Because of the structural decline of our toll businesses, in this presentation we will be highlighting results of operations net of international long-distance and national long-distance revenues. We believe this represents more meaningful and accurate picture of the businesses that we are actively managing. Consolidated revenues were higher year-on-year by 2% at 42.7 billion peso, with service revenues up by 1% at 40.8 billion peso. Excluding revenues from our toll businesses, consolidated service revenues rose by 4% year-on-year to 36 billion peso, with our fixed and wireless businesses registering growth of 9% and 1%, respectively. Consolidated EBITDA for the quarter was stable at 18.5 billion peso, while EBITDA margin stood at 45%. The core income for the period was lower by [indiscernible] to 54.1 billion peso, with EBITDA margin at 44%. Excluding the impact of the 1.4 billion peso MRP or manpower reduction program expense booked in the second quarter, EBITDA would have been lower by 3%, with EBITDA margin at 45%. Core income for the period declined by 5% to 27.1 billion peso, while reported net income was lower at 25.3 billion peso, mainly due to higher net forex losses due to the peso depreciation. On the next slide, last quarter we outlined our strategy of how we would become the consumers’ preferred digital service provider. This involves offering the customer a superior-value proposition that included connectivity, entertainment, convenience, urban comfort and peace of mind and delivering a consistent quality data experience. Even as the execution of the strategy is underway, let me now share with you a few milestones. We indicated that the impact of carrying out our strategy would fully manifest in 2016. This early, we are seeing positive trends emerging. On the next slide, you will recall that the third quarter is seasonally weak historically. Nonetheless, our wireless and fixed line service revenues, net of toll businesses revenues, registered quarter-on-quarter and year-on-year improvements. Our wireless business grew 1% quarter-on-quarter and year-on-year from declines in previous quarters. The fixed line business, on the other hand, showed sequential quarterly and year-on-year increases. On the next slide, a key element of our strategy involves the improvement of network quality and the customers’ data experience. At the end of September, we have spent about 23.3 billion peso out of the 43 billion peso of CapEx we earmarked for 2015. Our CapEx investments for this year include, among others, expansion of 3G and 4G coverage, provisioning of transport, expansion in international connectivity and caching to improve Internet speed and customer experience, building additional network resiliency and redundancy in order to ensure a consistent and reliable delivery of connectivity to the customer, migration to the new data centers to improve service availability to 99.99%. The PLDT Group has continued to make significant investments in improving its unparalleled network. Including this year’s 43 billion peso, the PLDT Group’s investment in CapEx from 2010 will amount to 203 billion peso or about US$4.6 billion. On the next slide, an important leg of our strategy involves the continuous expansion of our fixed and wireless offers to the consumer. On this slide, you will see a few of the recent offers of our new consumer group under which our individual and home businesses have been integrated. Some of our recent launches include the partnership with Uber and Airbnb. PLDT Home was also the first to launch the country’s most powerful broadband, our FIBR Giga plans. Interest remains strong for our iFlix and SVoD, or subscription video-on-demand offer, as well as Fox plans that offer live and catch-up TV. In addition to inroads made by viewing the customer through one lens, we are also beginning to see benefits from our efforts to sharpen the differentiation among our wireless brands, Smart, TNT and Sun. On the next slide, our consumer group continues to make headway in the market. PLDT Home further strengthened its leadership in connected home with digital services. Smart posted an all-time high in broadband and mobile Internet growth. PLDT Smart leads digital innovation with strategic partnerships to deliver entertainment, peace of mind and urban comfort. On the next slide, on the enterprise side, our enterprise group remains the unparalleled leader in the corporate and SME markets. The enterprise group’s focus is to further accelerate market leadership by digitally enabling businesses. The group has a wide array of data-centric business solutions and initiatives, which include among others, managing and operating the largest datacenter operations in the Philippines, further expanding the mobility solutions portfolio, as well as enabling their clients transition from the brick-and-mortar world into the digital universe. On the next slide, part of our strategy calls for the development of future sources of additional revenues and platforms to enhance PLDT’s value proposition. Executing on this are our Innovations group, Voyager, and PLDT Capital, our innovation gateway between Silicon Valley, Los Angeles and Southeast Asia. Voyager has identified PayMaya as one of its proven winners. It is the domestic remittance market leader with a 30% market share and a 36% year-on-year revenue growth. Recently PayMaya also launched an all-in-one virtual card that can be used for online payments with a feature that allows its use in Metro money-less light-rail transit system. PLDT Capital, on the other hand, intends to invest in spaces adjacent to the group’s main businesses. PLDT Capital recently announced investments in a loyalty program platform and a multiple screen-as-a-service platform, both of which will be used by the group and will be marketed commercially. On the next slide, while we remain focused on executing our strategy, we recognize some of the realities we face. Our toll businesses will continue to be a drag, even more so as we push the growth of our data businesses. And until such time, when data is at least 40% of our total revenues, we will need to better compete by providing the customer and enterprise customer superior value and a consistent and reliable quality experience that a superior network will make possible. Given elevated CapEx levels and plans to invest in those businesses, we need to manage our cash prudently, knowing that data monetization and returns on our investments may take time. Nevertheless, we are encouraged by our early wins and are looking forward to providing you with more updates on our progress in the quarters to come. At this point, allow me to hand over the floor to our Chairman, Mr. Manny V. Pangilinan, for the group guidance for the end of 2015.
Manuel Pangilinan: Thank you, Poly, and good afternoon to everybody. As to the core net income guidance for the full year 2015, in the context of year-to-date core income of 27.1 billion peso, implying an average quarterly core of approximately 9 billion peso, we affirm our core net income guidance for 2015 at 35 billion peso. And there’s a chance that we might perform slightly better than this particular number. As to CapEx for the year, we’re guiding total CapEx as up to 43 billion peso for the full year 2015, which is an historic high for PLDT. This translates to 27% of service revenues for the full year. As to dividends, we maintain our regular dividend of 75% of core earnings. As for special dividend, the scope and the quantum of special dividend of 2015 core might be limited, owing to the high level of CapEx anticipated for 2015 and the slightly higher leverage we’re seeing following the investment in Rocket Internet and other Internet companies that we have made an investment in the course of the year. We will determine that in the early part of 2016 as to the extent of the special dividend we can give after the year end 2015. So I’d like to turn over the floor to Melissa.
Melissa Vergel de Dios: We are now ready to take questions. Operator?
Operator: [Operator Instructions] Our first question comes from Luis Hilado.
Luis Hilado: I have three questions, the first two on the results and the third on the PayMaya regional launch. On the results, just wondering, there was significantly lower selling and promotional expenses both year-on-year and Q-on-Q. Is this an industry trend? And do you expect this, particularly on a year-on-year basis, to continue in the fourth quarter? The second question is with regards to CapEx in 2016 and onwards. Given the prospects of your current competition and perhaps future competition, are you looking at CapEx next year to be similar to this year’s levels? And the last question is on PayMaya. Once you launch it outside the Philippines, just wondering what type of distribution network you will have in terms of any synergies with the Rocket Internet group, in terms of the loading centers.
Napoleon Nazareno: On the first question, allow me to refer you to Ariel Fermin, the Head of our Consumer Group, on ad and promo expenses and at what level it would be moving forward.
Ariel Fermin: And in response to your question on A&P spending, you actually will see some optimization happening and we feel that it will continue for the rest of the year, in the coming years. And that’s largely because of the clarity – a little bit more clarity that we have in where we want to take the brands, particularly Smart, Sun and TNT. That’s one. We did it in a way that was complementing to our brands, just making sure that they occupied very specific positions in the market. The second driver for the optimization of the A&P would be just focusing largely on data growth, because we felt that that was the key driver moving mobile and of course fixed to the digital space. So that’s what we did in the past quarter. And you’ve seen the results that that actually has a resulted to a lot of growth, both from a broadband standpoint and of course for mobile Internet as well.
Napoleon Nazareno: On the PayMaya question, our strategy in deploying internationally is for Rocket and us to partner with a local entity. And our criteria for the local partner would be, one, having an e-money license; two, having a good network or points of preference across the country; and third, having a respected brand, because after all, it’s about money, and trust is the basic criteria for the partner. So right now we are in discussions with at least three [indiscernible] covering several countries and we are expecting to close the first one in the next few weeks.
Manuel Pangilinan: In Indonesia, the logical local partner is the Indofood Salim Group because they have obviously a very significant distribution network because of Indofood, Indomarco, which is the largest distributor in Indonesia, and a very significant retail presence. The Salim Group has the largest convenience store network in Indonesia, with as we speak about 12,000 stores nationwide and they continue to build that out. So they are the logical partner. We’re talking to Anthoni now about how we can work together on the PayMaya space, but also in other Internet spaces that he is also quite keen to pursue.
Napoleon Nazareno: I think on the next question, was it – Luis, was it about CapEx?
Luis Hilado: Yes, 2016 in particular, if you expect it to be similar to this year?
Napoleon Nazareno: I think I will now let our Head of Technology, Mr. Joachim Horn, to answer you that question.
Joachim Horn: The overall plan for the next years to invest and we expect that the CapEx levels for the next years will be elevated. The precise plan has not been completed.
Operator: Our next question comes from Arthur Pineda.
Arthur Pineda: Three questions from me as well. Firstly, what are your thoughts on smartphone data pricing in the Philippines now? Is there still more elasticity in this space? Second question I had is with regard to your mobile subs space. Can you just provide some flavor on what’s happening here? Why is it continuing to shrink as such? And third question I had is linked to your data network and Luis’ earlier question on CapEx. Where are you now with regard to LTE network deployment and is there room for you to actually see material expansion in CapEx should a new player emerge, or are you happy with your planned level of build out?
Manuel Pangilinan: On your question on smartphone pricing elasticity, did you want any specific insight on that one?
Arthur Pineda: Just on the data pricing in the Philippines. Is that likely to go down even further and will that actually allow for some elasticity or do you think at this stage there’s not much room to cut rates?
Manuel Pangilinan: I think at this point, we’re running at optimized rates already. And we’re giving the consumer what we felt was deserved. We’re bundling it with the traditional services that [indiscernible]. We’re moving toward what you call bucket plans for the consumers will enjoy data. It really depends on his lifestyle, whether he had wanted to enjoy this for one day or for one week. So that’s pretty much what we have. We’ve not really changed our plans as we speak. And what we’re seeing is that consumers are choosing the plans that fit his lifestyle.
Napoleon Nazareno: On the data network LTE coverage, we have currently covered the major cities like metro Manila, Cebu and Davao. And what you need to take into account that the penetration of LTE phones is still below 10%. It’s actually at 9%, but it’s growing. It’s growing rapidly. So we will expand our LTE coverage in the next years. We have planned for a substantial rollout in the coming years. On the 3G side, we will end the year with 7,300 base station 3G coverage. That’s most of our base stations will have 3G. What is also important in this context is the upgrade of the backbone and the backhaul network, which is in full swing as we speak.
Arthur Pineda: If I could just follow up on the second question I had earlier, what’s happening in the mobile subs space? Any flavor there on why it’s continuing to shrink? Was there any promotion which is churning?
Manuel Pangilinan: The big shrink now is being felt particularly in prepaid. We felt that the challenge is there for two reasons. Number one is that there is really just intense competition in that segment. Number two, it’s a part of own doing because we’ve moved some of the better-paying prepaid subscribers of higher value to postpaid. I guess the third one would be we’ve also been a little bit more vigilant in cleaning our subscriber space to be consistent with our – what do you call that, churn policies.
Operator: [Operator Instructions] Our next question comes from Rama Maruvada.
Rama Maruvada: Three questions from me, please. Firstly, again with regards to the sub base and the brief comments you made with regards to the prepaid, would you be able to clarify a bit more in terms of the drivers behind the 7% year-on-year decline in the prepaid revenues? Is this purely competition or to what extent is it the clean-up? I just want to get a better sense of how this would trend going forward. The second one, again, is on the local exchange subscribers and revenue trend. The sub growth seems to be surprising in the past couple of quarters. Just wondering is this a one-off increase that you are looking at or do you actually expect the fixed line subscriber base to increase over the coming years? Finally with regards to Telstra, we did pick up your comment that you’re prepared but would like to have more comments on what areas do you expect the business needs to prepare more before a new entrant comes in.
Napoleon Nazareno: Let’s just clarify the first question. It will be again on the decline in subs base, particularly for prepaid. There are three reasons for that one. Number one would be, intense competition that is a byproduct of that factor. Number two would be we have proactively mined our prepaid subscribers, those of highest value, and those who have been loyal to our brands to postpaid and enjoy the benefits of being a postpaid subscriber [indiscernible]. The third one would be we’ve aligned the churn guidelines, particularly of Sun, for them to be consistent with Smart. So those are the three reasons for the subscriber base decline in prepaid.
Manuel Pangilinan: I’ll try to answer the second question on the local exchange. The growth on local exchange actually can be explained by two factors. First, there is a refocus on the bundling of broadband with landline. So the increase in broadband adoption subscribers, there is bundles in landlines. The second one is a new enablement mandate for microbusiness and SMEs. That explains the increase in local exchange.
Napoleon Nazareno: On the entrance of Telstra, what we need to do is regardless of whether a third party is coming in or not really, for us to fortify our network and expand the coverage and the capacity of our networks, both on 3G, 4G and the rest. And what is going on is actually we are increasing the capacity also of our international connectivity, because as you know, over 90% of our content is coming from the US and Europe. And on top of that we will have to really move intensely into sharpening our brands and differentiating all our three brands, Smart, TNT and Sun, and we’re beginning to see some fruit into those initiatives. And thirdly, we have to look at our costs and be prudent in our cost, because monetization will come not overnight. And at the same time we have to really pursue our innovation initiatives both on the Voyager side and in the PLDT capital side, which is the international gateway for us in terms of investments in Silicon Valley, linking Silicon Valley, ourselves and Southeast Asia.
Ray Espinosa: Just to add Poly’s points, another important measure that we would be undertaking is to vigorously press our claim before we seek to be given a fair and reasonable share for allocation of 700 megahertz frequency. This is a frequency whose value is unlocked in order to provide us with the capability to provide faster speeds for mobile Internet and data connectivity. As of today, the entire 700-megahertz block is basically in the hands of three companies and now these spectrum allocations are being used, whereas the incumbents, ourselves and Globe, who have been applying for a fair and reasonable share of this frequency, have not been given any allocation. This is not consistent with the current laws and regulations in the Philippines, neither is it consistent with the harmonized standards of use for allocation for the 700 megahertz frequency as provided in the paper of the Asia-Pacific Telecommunity, which is a member of the ITU. The Philippines is a contracting party and signatory to both APT and ITU. In fact, the Philippines participated in the APT Conference that came up with this paper about the fair and efficient allocation of 700 megahertz. The 700 megahertz represents the digital dividend from the shift in analog broadcasting spectrum to the digital terrestrial TV, therefore freeing up this valuable resource for mobile telecommunications. All around the world, 700 megahertz is regarded as a very critical frequency for mobile communications. In the Philippines in particular, where speed is becoming an issue, both incumbents need a fair and reasonable share of the 700 megahertz frequency so that we can provide our existing customers with increased Internet speed in the mobile area. So we intend to press our claim before the NTC. So far our petitions have not been acted upon by the NTC. And if necessary, we will vigorously press our legal claims before the appropriate courts.
Operator: Our next question comes from Pankaj Suri.
Sachin Gupta: It’s Sachin Gupta here. I just had a couple of questions as well. Just firstly, going back to the spectrum issue, in the event that yourselves and Globe, you can appeal for some 700, is there a possibility that SMC and Telstra, they can actually get more spectrum in the other bands, such as 900 and 1800 or even 2.1, which basically makes their business case more viable? So that was one question I had. Secondly, just on the dividend, sorry, I apologize if I forgot what you said in the last quarter. You obviously got a look back approach. Is there any reason why the look back approach this year could be different to previous years given the CapEx has picked up?
Manuel Pangilinan: Let me respond to the first question. On the matter of frequency allocation, the SMC Group and if Telstra ever comes in, already have the allocations on the other frequency spectrum. What they have exclusively though is the 700 megahertz, to which all incumbents, Globe and ourselves, are not being given a fair and reasonable allocation. So today, if they were coming, they would have access to other frequencies that we have. But we don’t have access to the most valuable mobile spectrum today, which is 700 megahertz.
Napoleon Nazareno: On the dividends, what we said on the special dividend is that we really have to assess the situation very carefully in light of the high CapEx this year and the continuing high level of CapEx for the next two or three years given the requirements of the business and in light of possible more intense competition. So for that reason and for the fact that we’ve invested in Rocket Internet and other Internet companies, which calls upon the cash of PLDT in the course of 2015, we really have to be very careful as to the extent, the scope of the special dividend that might be prudent in light of those circumstances. So let’s just wait until the year end. And in the early part of 2016, we will have a careful examination of the cash position of PLDT as at year-end and looking forward for the next two or three years.
Operator: Our next question comes from Princy Singh.
Princy Singh: I have a couple of questions. Firstly, on the fixed-line operations, we’ve seen a pretty significant margin expansion. Just wanted to understand what is the source of this expansion and how should we think about the fixed-line margins going forward? And the second question is basically to do with your capital structure. If you could just remind us what is the maximum gearing levels that you would be comfortable with?
Eric Alberto: The margins expanded because we’re going beyond access in the way we engage our relationships, particularly in enterprise, but also in the consumer space [indiscernible]. In doing data solutions and ITP engagement, we are actually [indiscernible] our relationships with our enterprise, with the assets engagement, as well as increase in our revenue upstream through the [indiscernible] even more stickier.
Doy Vea: Now specific to the fixed-line business, the brand we use is PLDT Home. As Eric mentioned, we’ve gone beyond access as well and the agenda we’ve been using in the past four years or so was to have a connected home. At this stage we’re already – the critical mass in having digital services running on broadband that would be DSL and fiber for us. So things that you hear perhaps in the previous reviews, like [LPAT] evolution, running on broadband with all the content we have, those are things that increase our revenues and with quite hefty margins as well, so fixed line should be solid.
Princy Singh: Just on the gearing levels, how should we be thinking about that?
Anabelle Lim Chua: On the gearing level, we have indicated that we’re comfortable if our net debt to EBITDA sits at below 2 times. This obviously has to be considered in light of the higher cash demand for an elevated CapEx level going forward as well as some of the investments we’re making in the digital space. And that ties in with the earlier question that was answered with respect to how we would view special dividends. So all of that would be considered when we review again the plans particularly for next year.
Operator: [Operator Instructions] Our next question comes from Luis Hilado.
Luis Hilado: Just two follow-up questions from me. One is regarding the potential for new competition. I believe that San Miguel have been saying that they have some kind of soft launch or even commercial launch early next year. If they do use this 700 megahertz via some soft launch, would that take away your potential legal claims? Second question is a housekeeping one. Interest expenses for the quarter were up double digit year-on-year and Q-on-Q. Is that mainly the impact of the forex movement or the larger debt year-on-year?
Manuel Pangilinan: Let me answer the first question. On the matter of 700 frequency, the use by San Miguel and/or Telstra of this frequency does not in any way mitigate against the validity and strength of our claim. The laws and the applicable regulations today, even the NTC demands that incumbents to be given a fair and reasonable share for allocation of radio frequencies, especially in the case of the 700, where worldwide it has been declared as a scarce, but valuable and critical resource for enhanced mobile telecommunications. There is no reason why the Philippines would deviate from the pronouncements of the ITU and the APT to which the Philippines is a member. And that is simply what we’re requesting the NTC to do, which is to apply the current law and regulations and to apply it fairly and reasonably, as they have applied it to PLDT and Smart when we acquired Digitel. If you recall, we were asked to disgorge ourselves of frequency because the NTC found, in their own thinking, that we had surplus frequency, more than what is necessary to give the public service. In this particular case, the three companies who have not even rolled out any service have basically an allocation of 100 megahertz of is the entire 700-megahertz band. And the incumbent operators, who already have over – combined over 100 million subscribers, don’t have any access to this frequency. So the strength and legitimacy of our claim for a fair and reasonable allocation is very strong. And we believe that we should assert this firmly before the NTC and even ultimately before the courts if that becomes necessary.
Anabelle Lim Chua: With respect to the second question, Luis, on the higher interest expense, it is indeed a function of higher outstanding debt balances as we’ve been funding higher CapEx levels as well some investments. It’s also partly a function of the weaker peso or weaker exchange rate given that a significant portion of our debt are still denominated in US dollars or about 30%.
Operator: Our next question comes from Kervin Sisayan.
Kervin Sisayan: Just two questions from me. One is on the broadband segment. It appears that the subscribers have seen strong growth in the wireless subscriber segment, but there’s quite a disconnect in terms of revenues; it’s only growing by single digits. I hope that we can get more color on that. And second question is on the depreciation expense. I think it’s down year-on-year despite the increase in CapEx. Is this the new run rate that we can use?
Anabelle Lim Chua: On the wireless broadband, we can give you a bit more detail, but it is a combination of two items. There is a healthy increase in terms of the wireless broadband increase from the use of dongles and other similar mobile devices. But we have also a fixed wireless offering that was run as canopy and that is a technology from which people are migrating out into DSL and other variants. So that number is effectively diluted because of that. But we can give you a bit more detail if you want the specific data.
Manuel Pangilinan: Let me just build on that. The broadband business, the mobile broadband business subs base has increased by almost 900,000 subscribers year-to-date, that’s for the first nine months of the year. So that’ll be around 3.5 million subs already as we speak. And from a revenue standpoint, that translates to 34% growth. I think what you’re seeing right now is that [indiscernible] that includes the fixed wireless subscribers, which are [indiscernible], which are managed and operated by PLDT. And that’s been accounted for because there’s an active migration being done right now to better platforms in DSL and fiber to give the consumers better service. But thank you for noting that the broadband business of wireless has grown quite tremendously in this quarter.
Kervin Sisayan: And on the second question for the depreciation expense?
Anabelle Lim Chua: What was the question on the depreciation expense?
Kervin Sisayan: It seems that the depreciation expense is down year-on-year. Is this the new run rate that we’re going to see despite the increase in CapEx?
Anabelle Lim Chua: There are two drivers for that. One is there were certain assets that were impaired towards the end of last year, specifically again relating to the Canopy, WiMax, fixed wireless offering. So you effectively don’t see the depreciation of that. On the other hand, with respect to the depreciation of our new CapEx, you will note that it’s a little back-ended in terms of the booking of our CapEx. So at the nine-month period, we’ve only booked 23 billion peso out of our 43 billion peso CapEx. So the full impact of the depreciation of the new CapEx will not be felt this year, but more next year.
Operator: [Operator Instructions] Our next question comes from Arthur Pineda.
Arthur Pineda: Just a follow up-question. Just to clarify your earlier comments on the 700 spectrum and the need to release equitably by Telstra and SMC, by the same token, does this also mean that there’s risk that both yourselves and Globe could be forced to similarly release your 900 and 1800 bands as well and we could see some reforming in the industry?
Manuel Pangilinan: They just [indiscernible] actually they have 900, more 900 than we have and they have 1800.
Napoleon Nazareno: They already have those bands, 900 and 1800, which are not fully utilized at all. For us it’s fully used. So it’s not to say they don’t have any other frequency other than the 700. They have those.
Joachim Horn: There was a significant amount of frequencies beyond 2 gigahertz, in the 2.3 and 2.5 gigahertz.
Manuel Pangilinan: The 900 and 1800 frequency spectrum allocated to us, those were reasonably allocated and those have been used. And on the other hand, SMC, [indiscernible] frequencies. What is clearly – the issue is the lack of access or allocation when Philippines moves to the 700 megahertz, which today is solely exclusively in the hands of three probably related companies.
Joachim Horn: What they probably don’t know is that these companies have frequencies other than 700, they do. And they’re not being utilized at all. So [indiscernible] of frequencies other than 700, so that’s a total misconception.
Operator: [Operator Instructions]
Melissa Vergel de Dios: Operator, are there any more callers in the queue?
Operator: At the moment, we don’t have any questions in the queue.
Melissa Vergel de Dios: Then maybe you can give the replay information.
Operator: Okay. Thank you. I would like to give everyone the instant replay information for today’s call. This conference will be available on a 24-hour instant replay starting today daily until November 17, 2015. The replay information for the 3 PM call is for the US toll-free number 1-888-485-2360. UK toll-free number is 0800-3765743. Hong Kong toll would be 852-3018-4309. Singapore toll-free is 800-1205787. Japan toll-free 00531-1-22382. Australia toll number is 61-2-8030-3009. The pass code will be 6080 and conference leader is Melissa Vergel de Dios. I will now turn the conference back to PLDT for any additional or closing remarks. Thank you.
Napoleon Nazareno: Thank you for joining us this afternoon. Our next conference call would be early March when we announce the full-year results for 2015 and so we look forward to talk to you then and we look forward to a very exciting 2016. Thank you.
Operator: Thank you. And that concludes today’s conference. Thank you for your participation. You may disconnect at this time.